Operator: Good morning, ladies and gentlemen, and welcome to the Algonquin Power & Utilities Corp. Fourth Quarter and Full Year 2022 Earnings Webcast and Conference Call. [Operator Instructions] I would now like to turn the call over to Mr. Brian Chin, Vice President of Investor Relations. Please go ahead.
Brian Chin: Good morning, everyone, and thank you for joining us for our fourth quarter and full year 2022 earnings conference call. Speaking on the call today will be Arun Banskota, President and Chief Executive Officer; and Darren Myers, Chief Financial Officer. Also joining us this morning for the question-and-answer part of the call will be Jeff Norman, Chief Development Officer; and Johnny Johnston, Chief Operating Officer. To accompany today's earnings call, we have a supplemental webcast presentation available on our website, algonquinpowerandutilities.com. Our financial statements and management discussion and analysis are also available on the website as well as on SEDAR and EDGAR. We'd like to remind you that our discussion during the call will include certain forward-looking information, including, but not limited to, expectations regarding earnings, capital expenditures, pending acquisitions, asset sales and growth. At the end of the call, I will read a notice regarding forward-looking information and non-GAAP measures. Please also refer to our most recent MD&A filed on SEDAR and EDGAR and available on our website for additional important information on these items. On the call this morning, Arun will provide an overview of our fourth quarter and full year performance. Darren will follow with the financial results, and then Arun will conclude with an update on our strategic plan for the business. We will then open the lines for the question-and-answer period. [Operator Instructions] And with that, I'll turn it over to Arun.
Arun Banskota: Thank you, Brian, and good morning, everyone. To start, I would like to quickly extend my best wishes to Amelia Tsang, our outgoing Head of Investor Relations, who will be returning to the buy side. We are pleased to welcome Brian Chin to the role of Vice President, Investor Relations, whose utility and investment analyst background should serve as a useful resource for you. Now turning to our results. Given that this is our year-end earnings call, I will be providing financial and operational highlights for both the fourth quarter as well as the full year 2022. After a challenging second half of the year, we closed out 2022 on stable ground with full year adjusted net earnings per share coming in at the top end of our revised guidance range at $0.69, supported by fourth quarter adjusted net earnings per share of $0.22. On January 12, we hosted an investor update call where we presented decisive actions the company is taking to strengthen its financial position while addressing the various challenges faced. These actions include reducing our capital spend intensity to recognize changing market conditions and company-specific factors, optimizing our portfolio by targeting approximately $1 billion of additional asset sales, reducing our quarterly dividend by 40% to $0.1085 per common share and reducing our reliance on equity capital markets, including undertaking no new equity financings for the next 2 years. We continue to be focused on supporting our financial foundation, driving long-term profitable growth, and we remain committed to our BBB credit rating. Also as a reminder, we are very pleased with the results of our inaugural renewable asset recycling program. On December 29, we closed the previously announced sale of our ownership interests in a portfolio of Canadian and U.S. wind facilities to InfraRed Capital Partners. Total cash proceeds of the sale were approximately $357.6 million. As we have discussed before, we see a path to continue validating shareholder value by selling down operational renewable energy assets. With that, let's review Algonquin's fourth quarter and full year 2022 efforts and achievements within our 3 strategic pillars of growth, operational excellence and sustainability. Despite Algonquin's recent commitment to reducing our capital intensity, long-term profitable growth remains an important component of our strategy. Let me provide an update on the pending acquisition of Kentucky Power Company. To recap, on December 15, 2022, the U.S. Federal Energy Regulatory Commission, issued an order denying without prejudice authorization for the Kentucky Power transaction. On February 14, we filed a new application with FERC for approval of the transaction. Closing of the transaction remains subject to the satisfaction or waiver of certain conditions. In 2022, we successfully closed the New York Water transaction and have now fully integrated the business into Liberty operations. Liberty New York Water is a regulated water and wastewater utility serving approximately 127,000 customer connections across 8 counties in Southeastern New York State. Turning now to growth for our Renewable Energy Group. One growth lever is our C&I strategy of partnering and collaborating with companies to help them achieve their ESG commitments. We are pleased to report that during the quarter, site preparation commenced at the Carvers Creek solar project, a 150-megawatt project in Virginia. We continue to make progress on the renewables development front. Advancements include the delivery and installation of wind turbines at our Deerfield II, Sandy Ridge II and Shady Oaks II wind projects. We currently have over 600 megawatts of wind and solar projects in various stages of construction and expect to bring approximately 450 megawatts in service by end 2023. Separately, we also received news this week that the remaining solar panels for New Market Solar have started to clear customs and all remaining modules are expected to clear customs in the near future. This is great news and gives us enough confidence on module deliveries to remobilize our EPC contractor to complete final installation and site commissioning. And last, we are pleased to confirm that we have been awarded a 122-megawatt power purchase agreement from Hydro-Quebec for the Saint-Damase II expansion project. Awards for this project were announced earlier this week. This too is great news, reflecting our strong relationship with Hydro-Quebec. So overall, our construction program continues on track. As we mentioned on our January 12 update, we expect our 2023 renewables operating earnings, excluding the gain on sale to be relatively flat year-over-year, in part due to the lumpy nature of the business. Darren will provide further details shortly. Turning now to our strategic pillar of operational excellence.  In a mission-critical industry, safety and reliability are always key areas of focus. We strive to keep our customers and communities safe, while maintaining our system reliability and resiliency. 2022 was an excellent year for our safety numbers. We have a best-in-class lost time injury rate, top decile reportable injury rate and saw a significant drop in motor vehicle accidents year-over-year. We also received 2 additional industry awards recognizing another excellent year. The American Gas Association leading indicator safety award and the AGA Safety Achievement Award. We are very proud of our employees for living our culture of safety excellence as we have noted a significant increase in our leading indicator performance. This year, we also rolled out a new reporting program for [ good catch], an action-oriented and proactive reporting program. With increasing inclement weather, emergency preparedness and response is more important than ever, and we are proud that our BELCO team received the EEI Emergency Response Award for restoration efforts following Hurricane Fiona in Bermuda. Presented to EEI member companies twice a year, the emergency response awards recognize recovery and assistance efforts of electric companies following service disruptions caused by extreme natural events. We wish to extend our thanks and congratulations to our Bermuda team for this achievement and focus on customer service. Lastly, I would like to provide an update on key events from recent rate proceedings. We are pleased to have had a successful ROE appeal in New Brunswick, a rate order for California Water, as well as new GRC filings for Arkansas and New Brunswick. We expect to file several additional rate cases in 2023. The most immediate of this being for New York Water, which will be the first rate case filed post acquisition. And finally, we remain firmly committed to sustainability. We continue to include environmental, social and governance activities across our business and our key metrics. Our 2022 ESG report published in Q4 included a more quantitative focused approach to ESG across the enterprise. We also continued our journey to operationalize net zero by rolling out transition plans across our top 5 emitting facilities and advancing work on our TCFD risks for these. Our overall emissions intensity continues to trend down. We also continue to make progress on our 2023 ESG targets, including an 8% improvement towards our employee engagement target. We are currently processing our 2022 ESG data and are aiming to publish performance data by Q3. We are pleased that our ESG efforts are being recognized, as evidenced by Algonquin's inclusion in the Bloomberg Gender Equity Index for the fourth year in a row. And recognition on The Globe and Mail's 2022 report on business Women Lead Here list, an annual benchmark program that ranks Canadian companies on achieving or nearing gender parity in their executive ranks. Additionally, we were recently awarded the SMI Terra Carta Seal in recognition of Algonquin's commitment and leadership in sustainability. 2022 was focused on advancing our ambitious 5-year targets, which conclude at the end of 2023, as well as ongoing integration of our net zero by 2050 target across the enterprise. With that, I'll pass it over to Darren, who will speak to our fourth quarter and full year 2022 financial results. Darren?
Darren Myers: Thank you, Arun, and good morning, everyone. As Arun touched on briefly, Algonquin finished the year on stable footing, and we are confident that the steps we are taking will strengthen our financial foundation, drive profitable growth and create long-term value. Turning to the fourth quarter and full year financial results. Our fourth quarter 2022 consolidated adjusted EBITDA was $358.3 million, which is up approximately 20% from the $298.3 million for the same period last year. Full year 2022 consolidated adjusted EBITDA was approximately $1.26 billion, an increase of approximately 17% from the approximately $1.08 billion in the prior year. Fourth quarter adjusted net earnings were $151 million compared to $137 million reported last year, an increase of 10%. Full year adjusted net earnings were $474.9 million, up 6% from $449 million for the full year 2021. Looking at adjusted net earnings per share. The fourth quarter of 2022 came in at $0.22, a $0.05 (sic)  [ 5% ] increase compared to $0.21 in the prior year. And for the full year, adjusted net earnings per share was $0.69, a 3% decrease from $0.71 last year. The $0.69 came in at the high end of our revised 2022 adjusted net earnings per share guidance range of $0.66 to $0.69. Our net GAAP earnings was a loss of $74 million for the quarter and a loss of $212 million for the full year compared to $175 million net profit in the fourth quarter of 2021 and $265 million for the full year 2021. During the fourth quarter, the company took a $235 million noncash impairment charge primarily resulting from specific challenges we have previously discussed before, including congestion and declining forward energy prices in ERCOT. Our full year GAAP earnings were also negatively impacted by $499 million in noncash mark-to-market adjustments on our Atlantica shares. Looking further at the drivers of the fourth quarter and full year results. The Q4 increase in adjusted net earnings per share was primarily the result of gains on asset sales in the Renewable Energy Group and growth in our core earnings. Our growth in adjusted EBITDA was partially offset by higher interest expense, lower recognition of tax credits primarily as a result of the industry-wide solar panel supply chain challenges we previously discussed and an increase in the weighted average number of common shares outstanding. As a reminder, the company does not intend to undertake any new common equity financing through the end of 2024. Looking at results on a segmented basis. The Regulated Services Group delivered $214.4 million in operating profit in the fourth quarter. which compares to $191.4 million in the same quarter last year, an increase of 12%. For the full year, 2022, the Regulated Services Group delivered $863.6 million in operating profit compared to $758.8 million for the full year 2021, an increase of 14%. The year-over-year increases for both the fourth quarter and full year were primarily due to increases associated with the acquisition of New York Water and rate reviews of certain electric and gas utilities. Switching now to the Renewable Energy Group. Fourth quarter 2022 divisional operating profit was $163 million compared to $123.2 million in the same quarter last year, an increase of 32%. The increase was primarily due to the $62.8 million gain from our inaugural renewable asset recycling transaction, which compared to a gain of $29.1 million recorded in the fourth quarter of 2021. Excluding the gains our year-over-year operating profit was up 7%, reflecting improvements over a challenging fourth quarter 2021, in particular with our Texas Coastal Wind assets. For the full year 2022, the Renewable Energy Group reported divisional operating profit of $472.2 million compared to $383.6 million last year, an increase of 23%. The annual increase was primarily due to higher production, favorable energy market pricing and a gain from our asset recycling transaction. Now moving on to our capital plan for the year. We remain focused on creating value by making profitable investments to improve safety, reliability and resiliency of our assets to further enhance Algonquin's core businesses and allow us to better execute our strategy. Assuming completion of the $2.6 billion Kentucky Power acquisition, we expect to spend approximately $3.6 billion in capital in 2023. As Arun touched on earlier, Algonquin remains committed to maintaining its BBB credit rating. We are pleased that in January 2023, S&P and Fitch affirmed their existing ratings and outlook. And in February, DBRS also affirmed its existing ratings and removed Algonquin from under review with developing implications, updating Algonquin's outlook to stable. Additionally, at the end of 2022, we had approximately $2.3 billion of available liquidity on our revolving and term credit facilities. As an update, we extended our delayed draw term facility of $1.1 billion to the end of November 2023 and all the participant banks continue to be supportive of the extension. We are now in the process of extending and upsizing our parent credit facility, which is expected to add an additional $500 million of capacity. Additionally, we ended the year at approximately 89% fixed rate debt. Moving now to our earnings outlook. We have reaffirmed our 2023 adjusted net earnings per share expected range of $0.55 to $0.61, which starting this year will be calculated excluding the impact of any gains or losses on asset sales. For clarity, the $0.69 adjusted net earnings per share in 2022 would be $0.61 if we excluded an estimated $0.08 after tax from the gain on sale. With that, I will now hand it back to Arun.
Arun Banskota: Thanks, Darren. Before we close out our prepared remark -- comments this morning and open the line for questions, I want to provide an update on Algonquin's strategic initiatives. The company has continued to execute on strategic priorities, which are positioning us well for the future. First, we are seeking to optimize our portfolio by targeting approximately $1 billion of asset sale announcements in 2023. Proceeds from this initiative are expected to further improve financial flexibility. Second, we continue to work with AEP with regards to the Kentucky Power transaction. Third, we remain focused on operational discipline and profitable growth. Our 2023 capital investments are expected to be $3.6 billion, inclusive of Kentucky Power. I also wanted to briefly touch on the Atlantica strategic review. As you may have seen, Atlantica of which Algonquin owns approximately 42%, announced that it is undertaking a strategic review of the business. We are supportive of the process. We remain confident in Algonquin's long-term future. Our regulated and renewables businesses are both well positioned to contribute to and benefit from the decarbonization transformation that is currently underway and which will only strengthen over the coming years. We remain excited about the Inflation Reduction Act and the long-term incentives to decarbonize, which should benefit both our regulated and renewable businesses. In the face of near-term macro headwinds, we believe we are taking the prudent and proactive steps to navigate challenges and position the company to enhance shareholder value over the long term. With that, I will now turn the call over to the operator to open the lines up for questions.
Operator: [Operator Instructions] Our first question is from Sean Steuart with TD Securities.
Sean Steuart: A couple of questions. The $3.6 billion spending plan for 2023, just to clarify, does that include the full $2.6 billion for Kentucky Power or just the $1.4 billion cash component of that acquisition?
Darren Myers: Sean, that's the entire amount.
Sean Steuart: Okay. So that would leave $700 million of spending plans for the legacy regulated portfolio. Is that the correct way to look at it? And I ask because I think at the most recent deep dive Investor Day over a year ago, you were talking about $1.2 billion for the regulated spending plan in 2023, and I guess what I'm trying to get at is how do you guys think about long-term organic rate base growth potential for that overall business?
Darren Myers: So maybe I'll start. So on the -- just to clarify, on the $3.6 billion, it's $2.6 billion for the Kentucky and then $1 billion, obviously, is left over and we're not providing color on the investments through the longer term of our capital plan here. But needless to say, we see lots of opportunity to keep investing both in the regulated and the renewable business.
Sean Steuart: Okay. So no thoughts on longer-term organic growth potential that you can share at this point?
Darren Myers: Sorry, Sean, not at this point. Arun, I don't know if you want to add to that.
Arun Banskota: Sure. So Sean, in the past, we have shown you that with the existing portfolio of regulated assets, that we have potential to invest as much as $1 billion to $1.2 billion on the regulated side of the business. However, in the interest of customer affordability we have made the decision to reduce our capital intensity and focus on really safety, reliability and other absolutely needed investments on the regulator side of the business.
Sean Steuart: Okay. Second question, with respect to the asset sell-down program, you touched on, reiterating the $1 billion target. Does -- maybe some updates on how that program is progressing? And does the Atlantica strategic review affect how you approach that possible divestiture program going forward?
Arun Banskota: Sean, as background, I would say that and with over [ $17 billion ] worth of assets in our portfolio, the $1 billion taken in context is a fairly small amount. We have quite a number of different optionalities for that $1 billion of proceeds. As you know, we just announced in the fourth quarter, the renewable asset sell-down with proceeds in the range of $316 million. That is part of our ongoing strategy on the renewable side of the business. And with our acquisitive history over the many years, we certainly have a number of optionalities to get to that $1 billion, and we certainly will provide you more color with time.
Operator: Our next question is from Dariusz Lozny with Bank of America.
Dariusz Lozny: First one is just on the Kentucky Power transaction, maybe just procedurally, how you guys are thinking about it? Obviously, it's a fairly tight turnaround time with the April 26 deadline. Can you comment at all on -- assuming FERC approval comes in after the 45-day comment period ends but within the April 26 time frame, maybe just, how much time do you actually need to -- beyond the FERC approval to sort of dot the "I"s and cross the "T"s and actually get to a financial close with your counterparty in that transaction.
Arun Banskota: Beyond the outside date, we have actually done all of the planning necessary to be able to close. So that is not a constraint. As you know, we put in the new [ 2 or 3 ] in February. So we are as always have been using reasonable best efforts, and we continue to use reasonable best efforts right up to the outside date. And beyond that, Dariusz, it would not be prudent for me to speculate on timing, inside date -- outside date. So I will leave it at that for now.
Dariusz Lozny: Okay. Great. And maybe just one other one on your 2023 EPS guidance. Obviously, when you guys came out with that in January, there were some embedded assumptions in there about your interest expense. And obviously, we've seen some volatility in the rate market since then. Can you maybe -- are you in a position to comment at all about as far as where you're tracking within that $0.55 to $0.61 band, specifically related to that interest expense component?
Darren Myers: Dariusz, I mean, really, I mean, as you said, there's a lot of volatility, obviously going on right now. We're very comfortable still in the $0.55 to $0.61. So we reiterated that guidance. And I would say that everything is, all in all, where we would have been during the last update -- which in January that we gave the investment community.
Operator: Our next question is from David Quezada with Raymond James.
David Quezada: Maybe I'll start with one on the '23 capital plan. Curious if Kentucky Power doesn't go through, do you think that you could add some projects back into the plan? Or would affordability on the regulated side, still limit the investments there, consistent with your comments, maybe are there some renewable projects that could go back in? Just any thoughts on that scenario?
Arun Banskota: Sure, David. So on our $1 billion program, as I said before, that includes Kentucky Power in our base case, which we provided color to you at our January 12 update. And as we've discussed before, we certainly have a lot more growth opportunities on both the regulated side of the business and the renewable side of the business. So I don't want to speculate on what happens, but we have lots of options to deploy capital, but we'll obviously be looking at it from customer affordability, our own capital intensity requirements, funding requirements and all of those factors.
David Quezada: Okay. Excellent. And maybe just a follow-up on the -- or maybe just a clarification on the asset sales. Is it fair to say that, I guess, you're still potentially looking at other asset builds outside of Atlantica and you don't need to wait for an outcome on the Atlantica process in order to be having conversations with respect to potential other asset sales?
Arun Banskota: We are comfortable with our $1 billion asset sales that we announced in January. And again, like I said, we have lots of options to get to that $1 billion range. We are deep in the planning stages, and we will certainly let our investor community know with time.
Operator: Our next question is from Nelson Ng with RBC Capital Markets.
Nelson Ng: Just a quick follow-up question on interest rates. So I think with the sale of assets in Q4, it looks like you reduced your floating interest rate exposure a bit. Can you talk about how you're looking to manage your floating interest rate exposure going forward? And I presume the plan is still unchanged in terms of if you close Kentucky Power, you'll be drawing down on your floating credit facility?
Darren Myers: Nelson, I said the update is consistent with the January update. We did end up right close to the 90% fixed rate. We did a number of things in the fourth quarter to improve the fixed to floating rate. And as we -- assuming the close of Kentucky, we would expect the fixed percent to go down and then work our way back up through more fixed instruments as through the -- through our capital plan for 2023, which we outlined at the January Investor Day. So I think as a target, we would expect to be -- or we would target to be over 85% fixed at all given time. So we're pleased that 90% that we're at now, and we'll work to kind of maintain it at this level.
Nelson Ng: Okay. And then next question relates to the renewable energy business, and maybe this is a question for Jeff. But you guys mentioned that you have roughly, I guess, 600 megawatts under construction and 450 megawatts that will be commissioned this year. Kind of looking out over the next few years, is 450 megawatts like a good run rate? Or do you see that ramping up over time? And I know, Arun flagged that there's obviously a lot of optionality and opportunities you see, but I'm just thinking whether that the 450 megawatts is a good number or not?
Jeffery Norman: Yes. I think the 450 megawatts -- if you look at our history, the build has fluctuated a little bit as high as 1,600 megawatts, but -- and the projects are fairly clumpy as you know, in terms of minimum size, 100 megawatts to 300 megawatts, but 450 megawatts annually is a reasonable run rate for kind of our current capital planning.
Arun Banskota: Again, as a reminder, we have lots of growth opportunities on the renewable side as well with over 4,000 megawatts of greenfield pipeline and over 1,700 megawatt hours of storage pipeline. So we'll be able to get to that number. At the same time, as a reminder, we have said this time and again because of the nature of the renewables business, it does happen to be fairly lumpy with as much as, like Jeff said 1,600 megawatts in 1 year versus 450 megawatts this year.
Operator: Our next question is from Rob Hope with Scotiabank.
Robert Hope: Just 2 follow-up ones. First, in Kentucky. Assuming the transaction is closed, has your outlook for your Greening the Fleet initiatives there been changed or tempered at all? I realize that the Senate bills that have been proposed don't necessarily directly impact you, but it does speak to, well, maybe characterize it as maybe a tougher time to get renewables in the state.
Arun Banskota: Actually, Robert, I would say otherwise, with the Inflation Reduction Act, really the goal is to reduce prices for green and clean energy to ultimate consumers. And what the IRA also does is provide a very long-term stability for developers like ourselves. And so while we obviously could make those economics work in Missouri with the 600 megawatts of investments on the wind side, and that was before the IRA, those investments' thesis has become even more compelling with the IRA. The other thing I would like to point out is that in the Kentucky Power footprint, you're talking about the retirement or the closure of more than 1,100 megawatts of coal and those have been the highest cost power for Kentucky Power. So we see lots of potential given the IRA and given the out-of-state coal retirements to be investing in greenfield. So the thesis is even stronger, in fact.
Robert Hope: Okay. Good. I appreciate that color. And then maybe turning over to the regulated businesses. Higher operating costs were kind of flagged in the MD&A, especially on the gas side. Can you maybe add a little bit of commentary on where you're seeing operating costs and whether or not it's been a material drag on ROEs into '22 and into '23.
Anthony Johnston: Rob, it's Johnny. I mean, I think overall, we feel -- well, we always manage our operating costs pretty closely. And if you look at the track record over time as our operating cost has, I think have come down, give or take, probably the 1% CAGR over the last 5 years or so. And so I think we feel that we've got a pretty good track record going forward in terms of managing our operating costs.
Operator: Our next question is from Naji Baydoun with iA Capital Markets.
Naji Baydoun: Just wanted to revisit the Atlantica Yield and the assets review program. Can you just give us maybe your thoughts on what's different with this strategic review versus the one that was launched a couple of years ago? And are you still looking to launch -- or have you already launched other assets review programs?
Arun Banskota: Sorry, Naji, I didn't get the last part of your question.
Naji Baydoun: Yes. I was just saying, are you still looking to begin or have you already begun other processes to sell assets other than Atlantica?
Arun Banskota: Sure. Again, you're right. Atlantica did go through a strategic review process back in 2018. However, these are very different times. And this is a different Board that has announced the strategic review process, and we're just going to let that unfold and Atlantica will give updates with time. When we did our investor update on -- in January 12, that was clearly before the Board of Atlantica had announced its strategic review. So we are confident in the $1 billion asset sales because, like I keep saying, with our over [ $17 billion ] of assets, we have lots of optionalities and we are very much deep in the planning stages, including Phase 2 of our renewable asset sell-out.
Naji Baydoun: Okay. Okay. That helps. And just a question on Kentucky. Is there a scenario where we get past the April 26 deadline and some updates or positive updates on regulatory approvals? Just any thoughts on what happens then? What are kind of sort of your options at that point?
Arun Banskota: Sure, Naji. So look, with the December 15 denial by FERC, obviously it'd be prudent for management now to be looking at all options, right? But at the same time, as under our -- all of our obligations and our commitments, we will continue to use reasonable best efforts to close this transaction all the way until the outside date. And before that, it will probably not be prudent from me to speculate on the what if.
Operator: [Operator Instructions] We do have a question from Richard Sunderland with JPMorgan.
Richard Sunderland: Just 1 for me. I know you had this in the script, but could you speak a little bit more to the 4Q impairment and the valuation allowance alongside that? Just wondering if this relates at all to changing expectations for the renewables development activities going forward. It doesn't sound like there's been a change in the pipeline, but just a little more color there would be helpful.
Darren Myers: Yes, Richard. No, let me start just directly to your question. It does not change the outlook from our January update or for the renewables business. I think, as you know, the Texas market has been a tougher market, and this is part of our annual impairment testing, there's really 2 pieces to it. There's the Senate asset, which was a 2012 kind of vintage asset that really is just being -- the impairment is a result of the forward pricing curve today versus where it was when the original business case was done, which has obviously changed since 2012. And then on the Texas Coastal Wind assets, it's really around the congestion and [ bases ] issues that we've been discussing. So I would say that it reflects everything that we've been discussing on the previous calls and just part of our annual impairment testing and no change going forward. And the deferred tax asset, that's just a result of the losses that we have in the business and just the ability, it's a tax and accounting thing and ability to use them in the short term. It doesn't change our outlook on the tax expense around the business.
Richard Sunderland: Got it. Very clear. And so 1 follow-up for me on the Kentucky side. I think the release note said HSR approvals have lapsed. What's the time line to receive HSR again?
Arun Banskota: Yes. Richard, we've already refiled the HSR approval and we do not anticipate that to be an issue.
Operator: There are no further questions registered at this time. I would like to turn the meeting back over to Mr. Banskota.
Arun Banskota: Thank you for taking the time to listen to our fourth quarter and full year 2022 call today. Please continue to stay on the line for our disclaimer.
Brian Chin: Our discussion during this call contains certain forward-looking information, including, but not limited to, our expectations regarding earnings, capital expenditures, pending acquisitions, asset sales and growth. This forward-looking information is based on certain assumptions, including these described in our most recent MD&A and annual information form filed on SEDAR and EDGAR and is subject to risks and uncertainties that could cause actual results to differ materially from historical results or results anticipated by the forward-looking information. Forward-looking information provided during this call speaks only as of the date of this call and is based on the plans, beliefs, estimates, projections, expectations, opinions and assumptions of management as of today's date. There can be no assurance that forward-looking information will prove to be accurate, and you should not place undue reliance on forward-looking information. We disclaim any obligation to update any forward-looking information or to explain any material difference between subsequent actual events and such forward-looking information, except as required by applicable law. In addition, during the course of this call, we may have referred to certain non-GAAP measures and ratios including, but not limited to, adjusted net earnings, adjusted net earnings per share or adjusted net EPS, adjusted EBITDA, adjusted funds from operations and divisional operating profit. There is no standardized measure of such non-GAAP measures and consequently, our method of calculating these measures may differ from methods used by other companies, and therefore, may not be comparable to similar measures presented by other companies. For more information about forward-looking information and non-GAAP measures, including a reconciliation of non-GAAP financial measures to the corresponding GAAP measures, please refer to our most recent MD&A filed on SEDAR in Canada and EDGAR in the United States and available on our website.
Operator: Thank you. This concludes today's conference. Please disconnect your lines at this time, and we thank you for your participation.